Operator: Welcome to the Fiscal 2014 fourth quarter and year-end earnings call for Applied Industrial Technologies. My name is Chris, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now like to turn the call over to Julie Kho. Julie, you may begin.
Julie Kho: Thanks, Chris, and good morning, everyone. On behalf of Applied Industrial Technologies, thank you for joining us on our fiscal 2014 fourth quarter and year end investor conference call. Our earnings release was issued this morning before the market opened. If you haven't received it, you can retrieve it from our website at Applied.com. A replay of today's broadcast will be available for the next two weeks as noted in the press release. Before we begin, I would like to remind everyone that we will discuss Applied's business outlook during the conference call and make statements that are considered forward-looking. All forward-looking statements, including those made during the question-and-answer portion, speak only as of the date hereof and are based on current expectations that are subject to certain risks, including trends in the industrial sector of the economy, the success of our various business strategies and other risk factors identified in Applied's most recent periodic report and other filings made with the SEC, which are available at the Investor Relations section of our website at applied.com. Accordingly, actual results may differ materially from those expressed in the forward-looking statements. The company undertakes no obligation to update publicly or revise any forward-looking statement whether due to new information or events or otherwise. In compliance with SEC Regulation FD, this teleconference is being made available to the media and the general public, as well as to analysts and to investors. Because the teleconference and its webcast are open to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Our speakers today include Neil Schrimsher, Applied's President and Chief Executive Officer; and Mark Eisele, our Chief Financial Officer. At this time, I’ll turn the call over to Neil.
Neil Schrimsher: Thank you, Julie, and good morning, everyone. We appreciate you joining us today. To recap the numbers from our release this morning, our net sales for the quarter were $654.6 million, up 2.2% from $640.5 million in the same period a year ago. Net income was $29.7 million or $0.71 per share compared with 432.3 million or $0.76 per share in last year’s fourth quarter. As a reminder, in our last year’s fourth quarter, we did have LIFO layer liquidation benefits which boosted prior year earnings by $0.05. Our full year results were $2.46 billion, essentially flat compared to $2.462 billion last year. Net income for our full fiscal 2014 was $112.8 million or $2.67 per share compared with $118.1 million or $2.78 per share in fiscal 2013. Our fiscal 2014 was a significant year of transition, further expanding our value add for our customers, extending our global reach with added capabilities, and achieving significant milestones with our ERP deployments. In fiscal 2014 we returned over $77 million to shareholders via dividends and share repurchases, while increasing shareholders equity to $800 million. We also made a number of sizeable accretive acquisitions over the past 12 months including four since May. This recent activity provides a great deal of momentum going into fiscal 2015, especially when considering the strong additions of Knox Oil Field Supply and Reliance Industrial Products. We have significantly enhanced our capabilities to serve North American oil and gas markets, and these acquisitions will add approximately $240 million of annual sales to our fiscal 2015 results. Acquisitions remain a key part of our strategy and we will stay active in this area going forward, building on our capabilities and delivering the synergy plans. Overall, the new fiscal year includes many opportunities to accelerate our growth and profitability. Organically, via continued acquisition activity and through our investments in technology and talent, we have a strong foundation, expanding capabilities and a straightforward strategic plan to execute and we’re energized about the year ahead. Looking forward, we expect to see improvements in our service center operations and fluid power businesses supported by an improving industrial economic environment. For fiscal 2015, we are forecasting a sales increase of 13% to 16% and earnings per share in the range of $2.95 to $3.20 per share. Included in these numbers are recent acquisitions which will provide a boost of 10% sales increase in fiscal 2015 along with an expected EPS of $0.17 to $0.22 per share. So with that, I'll turn the call over to Mark for additional details on our financial results. 
Mark Eisele: Thanks, Neil. Good morning, everyone. I'll provide some additional insight regarding our fourth quarter fiscal '14 financial performance. Our sales per day rate during the quarter was $10.3 million per day which is 3% above the prior year quarter, and 5.1% above our rate in the March quarter. We had one half less selling day in the June 2014 quarter compared to the prior year. Acquisitions had a positive impact on sales of 4.7% during the quarter, and foreign currency translation decreased sales by 1.1%. Therefore overall core same-store operations experienced a 1.4% decrease in sales compared to the prior year or 0.6% on a sales per day basis. In addition, we believe the impact of vendor price increases was minimal during the quarter. Our product mix during the quarter was 28.2% fluid power products and 71.8% industrial products. Fourth quarter sales in our service center based distribution segment increased $8.1million or 1.6%. Acquisitions added 5.6%, foreign currency translation reduced sales 1.1% and core same-store operations experienced a 2.9% decline. The sales in our fluid power businesses segment increased $4.3 million or 3.5%. Core same-store operations increased 4.6% offset by negative foreign currency translation impact of 1.1%. From a geographic perspective, sales in the fourth quarter from our overall U.S. operations were up 0.9% compared to the prior year quarter. Our Canadian operations, excluding acquisitions impact, experienced a sales decrease in local currency of 3.7% and had negative foreign currency translation impact of 6%, resulting in an overall sales decrease of $7.7 million. Consolidated sales from our other country operations which include Mexico, Australia and New Zealand had an overall sales increase in local currency of 2.6% offset by unfavorable foreign currency translations of 5.6%, resulting in an overall sales decrease of $1.6 million. Our gross profit percentage for the quarter was 27.9%, slightly under our expectations to be above the 28% level in the quarter. We had no benefit from LIFO layer liquidations in the fourth quarter of fiscal 2014. Our selling, distribution and administrative expenses as a percentage of sales was 21% for the quarter. On an absolute basis, SD&A increased$4.6 million in the quarter or 3.5%. Acquisition added $7.8 million of SD&A in quarter, of which $1.6 million pertained to intangible assets amortization. Our core operational SD&A run rate was down on a year over year comparison, resulting from ongoing cost containment actions. Our effective tax rate for the fourth quarter was 33.9% and is at 32.1% for the whole year to date. The low tax rate for the current year was due primarily to one time tax benefits recorded in our third quarter that we have discussed and disclosed previously. We expect our fiscal 2015 tax rate to return to around the 34.5% to 35.0% range. This is higher than our fiscal 2014 rate as we foresee no further onetime tax benefits or tax accruals reversals occurring in fiscal 2015. June 30 inventory balances increased $14.3 million from the March levels. The Reliance acquisition added $24 million to inventory. So our core same store operations had a decrease of about $10 million in the quarter. Combined with our $3.2 million decrease in inventories in the March quarter, we have decreased inventories around $13 million since December 31. Our DSOs and past due receivables have been increasing in the US Service Center Network throughout fiscal 2014. To address this, we increased our receivables allowance by $2.2 million during the fourth quarter. Now that all US Service Centers are on one receivables management system, we expect to see past dues and DSOs return to more normal levels during fiscal 2015. We finished up a solid year of cash provided from operations and our year to date amounts are basically the same as in the prior year. We expect improved cash flows from operations in fiscal 2015 compared to 2014. In addition, in May 2014 we purchased our corporate headquarters facility in Cleveland, Ohio for approximately $10 million in cash and the assumption of a $2.3 million low interest loan from the State of Ohio. We previously had been leasing our headquarters from the Cleveland Port Authority for the past 18 years .As we approach the expiration of the lease, we determined it would more cost advantageous for us to purchase the building versus entering into a new lease. Our capital expenditure expectation for fiscal 2015 is in the range of $14 million to $16 million. About $3 million of this relates to expansion activities at our recent acquisitions. Our after tax return on assets was 10.2% in fiscal 2014 and 11.6% in fiscal 2013. About a third of this decline is due to lower net income with the remainder due to higher operational assets in our core businesses coupled with the goodwill and intangible assets added from our recent acquisitions. We purchased 264,900 shares of stock in the open market during the June quarter. We expect to remain active in executing stock buybacks on a go forward basis thorough fiscal 2015. On July 1, 2014 we completed three acquisitions with an overall purchase price of around $145 million. As part of our funding for these acquisitions, on July 1 we borrowed $120 million under a private placement agreement with Prudential. This is a long term fixed rate borrowing with a 3.19% interest rate. Looking forward to our fiscal 2015, we are expecting to see a slight gross profit percent improvement throughout our organization. Coupled with the higher gross profit levels at Reliance and Knox, we expect our overall gross profit percentage to increase by over 50 basis points. We will continue to keep a focus on our selling, distribution and administrative expenses in fiscal 2015 and expect SD&A at core same-store operations to increase at a lower rate than sales. As previously stated in our press release, with these expected operational improvements, coupled with our recent acquisitions, we expect EPS for fiscal 2015 to be in the $2.95 per share to $3.20 per share range. Now I’ll turn the call back to Neal for some final comments.
Neil Schrimsher: Thanks Mark. To summarize, the operation investments and improvements we’ve made over the last several years are paving the way for us to realize our full potential. Coming off our 90 year anniversary, we’re excited about our business position and energized by opportunities to generate increase shareholder value and to win in the marketplace. Fiscal 2015 builds on our progress from the past year and maintains continuity in our five strategic plan elements; growing sales in our core business as well as in targeted industries; driving product expansion beyond our base offerings with opportunities across all our product groups; building upon our North American fluid power market leadership, enhancing operational excellence with continuous improvement across the business; and realizing the full potential from our ERP investments; and accelerating acquisitions with clear plans to deliver business synergies. Our collective execution will propel us forward to achieving our three year strategic objectives, reaching $3.7 billion in revenues through organic growth and acquisitions. Our revenue objectives are higher. Growing our international presence to 25% of revenues and improving our EBITDA profitability towards 10% through sales and margin expansion and with continued discipline on cost and operational controls. All across Applied we’re excited about fiscal 2015 and our long range growth prospects, living our core values with an emphasis on customers, continuous improvement, accountability and teamwork. With that, we’ll open up the lines for your questions. 
Operator: (Operator instructions) And now our first question comes from the line of John Baliotti with Janney Capital Markets. Please go ahead.
John Baliotti – Janney Capital Markets : Thank you. Good morning. Neal or Mark, either, with respect to the guidance and Mark to your break down of gross margin and SD&A, I was wondering could you kind of pull together the – how you see the contributions to those from both the core investments you made this year in fiscal 2014 as well as the recently closed acquisitions, because you’ve obviously have given us some color on the revenue contributions and the profit -- EPS contributions from those deals. I was just wondering if you could aggregate that as to how you see 2015 with respect to the overall margins.
Mark Eisele : Yeah. John, I’ll start with that. From the gross profit percentage, I think our prospective from the core operations is that we should see improvement in the gross profit percentage of -- let’s call it 20 to 40 basis points and then the relatively higher levels of GP from the recent acquisitions compared to our core operations should show a similar number of an improvement. That would just be how the map would work when those numbers are layered into our overall numbers. 
John Baliotti – Janney Capital Markets : Right. Do you see -- I mean obviously these deals are relatively recent. So does this change the long term patterns or this is really more of as – Neal, to you point of getting you to those long term goals that you have, is this pretty much consistent with where you want to be down the road?
Neal Schrimsher : We think they or we know they clearly help us get to the objectives. And as we’ve talked before, the long arrangements we don’t think our ceilings are stopping points. They are the right objectives for us to be pursuing on the acquisition around the energy sectors, I mean in one we’re in month seven in which we feel very good with Reliance. So we closed month three and are excited about our progress. And then with three of the other acquisitions we just closed or completed month one with them. And so we’re very focused on those synergy plans and executing them. And as we’ve talked before, a lot of those are around the growth and the expansion prospects that they have.
John Baliotti – Janney Capital Markets : Right. So given that they’re recently done, the long-term, the real stride for these acquisition should come beyond fiscal ’15.
Mark Eisele : Yeah. I think, John our thought is we’re going to continue to work these acquisitions in ’15 and we see opportunities for them to continue to improve in the future. So we’re not taking our pedal off the – our foot off the pedal regarding additional acquisitions because when we look at our overall three year goal from a revenue perspective, we think oh gosh, about half of that is going to come through additional acquisitions and then the other half is going to come through organic growth. 
Operator: Our next comes from the line of Jeff Hammond with KeyBanc Capital Markets. Please go ahead. 
Jeff Hammond – KeyBanc Capital Markets: Good morning guys. So, just a couple of kind of housekeeping items for – with these deals. Can you speak to what you think your D&A run rate is going to be with these three latest in there? And then also how are you thinking about interest expense for the year?
Mark Eisele : Yeah. I'll talk about that, Jeff. Regarding intangible asset amortization, obviously we’re still on the early stages of that for the acquisitions we did July 1, but we do have estimates for that. Within our numbers, I'll break up the intangible asset amortization that we expect from our core continuing operations, which would be about $12 million for fiscal ’15. And then from all the acquisitions that we’ve done in the last couple of months, expecting $17 million from them, so a total of $29 million of intangible asset amortization, which is a little over 1% of our expected sales in the sales range. So we have a big step forward in having an over 1% impact of that expense on our operating profit whereas in fiscal ’14, it was only about 50 basis points. Regarding depreciation, the core same-store go-forward projection is around $13.5 million in fiscal ’15. Then we expect the acquisitions to add about $3.5 million or so. So, a total depreciation of about $17 million. When I think about interest expense, we ended the new $20 million long-term facility at 3.19%. So the math on that has about $3.8 million of interest expense for the year. The remainder of our debt is all variable debt. And so that interest rate changes based upon the changes in the overall interest rates. Today, we’ve got about $200 million of borrowings under variable interest rate facilities. And today, we’re paying anywhere from 0.85% to 1.1% on those facilities. And if you expect and project that interest for the whole fiscal year, pick your number, 1.5% or something like that, that would be around $3 million or so. So combining those two numbers would be $6.8 million to $7 million is an estimate for debt from that perspective. So hopefully that helps.
Jeff Hammond – KeyBanc Capital Markets: Great. No, that’s great. Can you just talk about the long-term growth rates of Reliance and Knox? And then as you look at cyclicality versus your base, how is that the same or different?
Neal Schrimsher : We think we have moved from probably a little underweight around some of those energy segments to market weight. We recognize they can have some cyclicality into them. Right now we’re doing well and excited about them. But you know it becomes a market weight of our segments at maybe 10% or so of our business. So we think we’re a well diversified industrial distributor participating in all of those segments. So if one goes a little soft, obviously we’re expecting and working others that are picking up. In that regard we think we are just fine. Perhaps we weren’t participating as much as we should have before and we’ve taken some steps obviously to improve that. 
Jeff Hammond – KeyBanc Capital Markets: Okay. And then just back to the long term targets, I think quick math it’s a mid-teens kind of growth over the three years? And Mark, you said half organic half acquired? 
Mark Eisele: That would be the general perspective is that around half of that we expect to get through that. 
Neil Schrimsher: And I’d say Jeff, whether it’s 50-50 or acquisitions 60-40, we like to be as busy from an acquisition standpoint as we have been recently. We still believe the space is highly fragmented. We have our priorities. We’ll be working those along the way. You never perfectly control the timing, but as you think out over those three year periods, we expect to be busy on acquisition and also growing our core business. 
Jeff Hammond – KeyBanc Capital Markets: Just on the core growth because we’ve had a couple of years of flat to slightly down and now I think we are saying three to six, where do you get the out growth or should we start to think about a lower organic growth rate in --?
Neil Schrimsher: For us and internally and clearly with the teams, I’m not thinking about a lower one. If we look back at our last quarter that we closed, so April we had our largest go live from an area deployment, our last in the US. And so we saw nice progression as expected from April to May then on from May to June. And we see then that carry forward into the new fiscal year, in July and maybe even the early few days of August. So last year we had quarterly deployments. This year we won’t. And so our area reviews and discussions are around customers and growth and not all about organizational change management and training as they needed to be in fiscal 2014. Big year transition. We’ve done that and we are very focused on markets and customers and growing in those core business. We’ve been that way in fluid power and we think we’ve demonstrated or shown results in that. And we are not finished there. There’s more we can do. We expect that to pick up in our core US service centers. We expect it to further pick up in maintenance supplies and solutions and the rest of those segments. 
Operator: Our next question comes from the line of Matt Duncan with Stephens Incorporated. Please go ahead. 
Matt Duncan – Stephens Inc.: Hey, guys. Just sticking on that last line of thought for a second. Neil, in the locations where you guys did the SAP install earlier in FY14, can you talk a little bit about how organic growth trended those locations through the year. And in a quarter where you were installing SAP in a region, what was the growth like? I’m just trying to see as you recovered from SAP install what was growth like in those places versus where it was happening?
Neil Schrimsher: I don’t have it all in front. And I would say clearly as we move throughout the early part of the year or maybe just U.S deployments in general, as they move along you always learn and they always get better. But you start to see the distance from deployment. They just get back to regular business. We’ve talked around the cut overs and the go lives. You get a little bit of swell of activity in an area before. There’s a natural lower activity during the cut over and it ramps from that. So as we’ve done those phase deployments, those that are a little further away, you see that growth. Those that were the most recent in, they have a little bit of that lull to start out. What I’ve liked about each one of them is that they are less. We get very good at getting focused on any variances and help those service centers that maybe need a little bit more attention along the way. Our ramp through that has been good. I am pleased that we are deploying this month as we go forward. We’ve moved from building a system and deploying it. Now it focuses all on run and optimize and around customers in those market areas.
Matt Duncan – Stephens Inc.: So Neil, in the locations -- in the June quarter, in the locations where it was installed earlier in the fiscal year, did those locations grow in the June quarter? I guess including the -- or backing out the FX impact you were down 1.4% organic in the June quarter and growing in those -- 
Neil Schrimsher: Yeah. The FX obviously more the over the global businesses and the foreign ops. I think you’d say right, we had, in my feeling growth at market in areas and locations that had been formed. Obviously we had areas that grew stronger than market and then as you go through the transition you are probably a little bit less than market. And so hey, I like the progress that we made through the quarter as we go through it and what we enter into coming into this fiscal year. 
Matt Duncan – Stephens Inc.: Okay. And so let’s come at this from a little different angle. On the daily sales organic growth, month to month, I guess the last install was in April. Have you seen that growth rate improve since then and what it’s been like so far in the current quarter? 
Mark Eisele: Matt, this is Mark. Obviously we went live in early April with our largest area, what we call our Midwest area. And we’ve seen sequential improvements from that. Their year over year sales for April were negative and then that negative was still there in the month of May, but much smaller. And then that became a positive as we looked into June and July. If you want to just do the math and say gee, all of that math is related to the cut over, that hangover was a 60 day situation for them and they’ve been positive in July and we see them starting to be positive again in August. 
Matt Duncan – Stephens Inc.: What about total company though, Mark, what’s the organic growth look like from the total company so far this quarter? 
Mark Eisele: So far this quarter in the month of July and for the first week or so of August we’ve seen similar trends as we saw in June. And so the month of June we accelerated for the whole company for -- let’s specifically look at US Service Centers because we’ve been talking about that. US Service Centers we saw progressively improved year over year sales results from April to May to June and in the month of June we were positive compared to the prior year June. And we saw that continue in the month of July and then also through the month of August. 
Matt Duncan – Stephens Inc.: Okay, yeah. That’s helpful. And the last thing for me and I’ll hop back into the queue, energy is obviously as you guys alluded in the press release in your prepared comments is become a more meaningful and market for you through the Knox and Reliance deals. Can you talk in a bit more detail about what products you are offering to that end market now and how much of your energy exposure is more upstream oil and gas on the drilling and production side versus mid-stream and downstream energy?
Neil Schrimsher: Yeah. I’d say our participation -- before we participated predominantly at downstream and refineries which operated as plants, I think now we have much better participation upstream as we think about in drilling, as we think about in completion and then we think about in ongoing production in all those upstream segments. I think for us not so much in the midstream type in those products or in those … in that portion of the market. And then I think from a product standpoint the encouraging part it’s products that we have knowhow and experience in. It’s bearings. It’s power transmission. It’s some added oil field supplies, but in many regard some of those oil field supplies can be similar to general industrial or RMO supplies in other market segments as well. So we have knowhow and capability. Obviously we’ve added some industry know how and experience and some capable personnel in that. And then I’d say the other segment that we’d look to do well in would just be around the whole fluid conveyance area. We are sizable, but that expands as we move a little bit more into the space. 
Operator: (Operator Instructions) our next question comes from the line of Jon Tanwanteng with CJS Securities. Please go ahead. 
Jon Tanwanteng – CJS Securities: Just on the same track as the last couple of guys, can you give us more color on just the sales per day number by month and what you’ve seen in July and into August?
Neil Schrimsher: What we’re seeing in July as we saw continued good year-over-year sales results, some of what we saw in the month of June. So we said previously we said April, May, June we saw improvements, April to May and May to June. We saw that June -- I'll call it that improvement thing continuing to July and also continuing now into August with that information. And so we’re pleased about that. 
Jon Tanwanteng - CJS Securities: Maybe more – to be more specific, did they improve sequentially as opposed to year-over-year?
Neil Schrimsher: Generally yes. I don’t have all those figures in front of me, Jon, but yeah. And for the total company, our sales per day for June was better than May. And then I will say for July, we do and we have talked in the past about a little bit of a seasonality issue there with it stepping down a little bit in July and August. We saw that seasonality in July much less than what we have in a traditional year. So that tells us and shows us that hey, we’ve continued to see that improvement we saw from May to June into July and even continuing into August.
Jon Tanwanteng - CJS Securities: Okay, great. And then just in terms of the guidance, have you included any synergies either from cost or a sales side in that outlook?
Neil Schrimsher: We have incorporated into our guidance with all the acquisitions -- what I call our first year plan for them that we developed during our acquisition and due diligence and pre-acquisition items. And we view those things in here and put them in there basically at our base cases which –we do have a lot of things in the base cases of our actions and activities that we’re going to take during the year. And so those items are in there. As we’ve said before, we also have what we call a synergy case out there that we’re also working to and towards. So the synergy case items are blended in to our numbers because it just all doesn’t happen immediately and it happens over time. And so as we march forward, those numbers become what I call our plan and then would then become our guidance and they’re factored into our guidance right now for the first 12 months. 
Jon Tanwanteng - CJS Securities: Okay. Great. And then finally, you mentioned $3 million of capital spent for the acquisitions. Is that pure gross spend or more just getting them in line with how you run the business now?
Neil Schrimsher: I would call most of that growth spend and that’s – these organizations that we acquire, they were on their own internal growth items. And so we want to continue that and we want to fund that, and that’s what we have.
Mark Eisele: That would be a combination of looking at locations and other capital investments that would support continued growth in those businesses. 
Jon Tanwanteng - CJS Securities: Okay. Thanks. And finally just a quick question on the buybacks. You went through a significant portion of your repurchase program this year. I'm just thinking – I'm just wondering what are your thoughts and the board’s thoughts on further buybacks beyond the current authorization. 
Neil Schrimsher: We continue to have conversations with our board for that. And as we’ve said in the past, when we run out of shares in the current buyback, we present to the board a request for new authorization. And they have always granted it in the past. I can’t guarantee what they’re going to say in the future, but I think they’re going to grant it when we run out shares this time too. Our traditional ask has always been 1.5 million, and then we work that down and then we start a new one. My expectation is that that will continue and we will not miss any periods of having opportunities to buy during fiscal 2015.
Operator: Our next question comes from the line of Joe Mondillo with Sidoti & Company. Please go ahead. 
Joe Mondillo – Sidoti & Company: Hi guys. Good morning. Couple clarification questions based on the results as well as the guidance. First off, in terms of the quarter, so was one of your most active quarters regarding acquisitions? I was wondering if there is sort of expenses that maybe were a little more inflated throughout the quarter related to due diligence and other acquisition related expenses?
Neil Schrimsher: The short answer to that is yes. The fourth quarter as well as our third quarter had what I’ll call those due diligence type expenses. and it’s hard for us to specifically quantify those, but for both quarters combined, we think it’s a little north of $1.5 million and you could just like say let’s split half in the third quarter half, half in the fourth quarter and that would be close. So, hopefully that helps. 
Joe Mondillo – Sidoti & Company: Okay yeah. Definitely helpful. Also was wondering if you could provide an EPS figure that contributed to the quarter related to acquisitions?
Mark Eisele: Yeah. What we said in the last conference call is our thought for the Reliance acquisition for the months of May and June that it would basically be a push and that was taking into account the one time due diligence type expenses and things of that nature. So they did a little bit better than that, but it really wasn’t a meaningful additive item.
Joe Mondillo – Sidoti & Company: Okay and then regarding the guidance, I believe I heard on your commentary, but I just wanted make sure that the SD&A outlook for the year, did you say that the total SD&A will grow slower than total revenue growth?
Mark Eisele: Our view is the SD&A from our core operations will grow slower than the revenue growth. Layering on the acquisitions, that’s just, that’s going to continue.
Joe Mondillo – Sidoti & Company: Okay, I just wanted to clarify that. And then I guess just lastly sort of a bigger level question. I think a lot has been discussed a lot in the organic growth and in the acquisitions, but in terms of acquisitions and I guess maybe your three year picture, we have this service center part of the business and then we have this sort of this, other part of the business that you sort of described in terms of expanding your capabilities and Reliance is a perfect example of that, a very different business than maybe some of your other businesses. Just wondering sort of, if you could sort of talk about Neal maybe what your sort of a vision of the company is through your service center business complementing sort of all these expanding capabilities that maybe such as Reliance brings to you?
Neal Schrimsher : Yeah. So I think in our core service centers our real focus is continued improvement around our core products, 84% of what we have sold have been bearings and power transmissions and fluid power. We think there’s more we can do in each one of those. And then outside of those we have 13 other categories of products that flow through our distribution centers to our service centers and we sell to our customers every day, including some of our largest ones. We’ll go 10, 12, 14, categories across. Our view is we can do more of those categories with existing customers and then combine some of these capabilities with Reliance and others to secure new customers to bring some of those product offerings to them. So I expect us to be growing our core with existing customers and new customers that we work product expansion with fluid power both -- with OEM customers and MRO as we go across and then we continue to look for the right acquisitions that help us to those priorities -- product priorities, business priorities and geographic opportunities that we’d have.
Joe Mondillo – Sidoti & Company: Okay. So in terms of Reliance just taking that for an example, the biggest sort of synergy there is sort of just expanding your customer relations and benefiting the service center part of the business, benefiting from just that expanded customer reach as well as benefiting from the strong organic growth that that type of company has.
Neal Schrimsher : So they would do a very good job in upstream oil and gas and around fluid conveyance and some fluid power products. So naturally there’s opportunities with some of those customers and applications for bearings and power transmissions. So we can combine the two and do that going forward in places that they exist and obviously we exist in some other areas that that fluid conveyance capability and know how can grow in existing kind of applied serve to markets and customers in existing geographies where we’re today , but also some newer ones 
Joe Mondillo – Sidoti & Company: Okay and then last follow up regarding this whole topic, how much of the total business is standard or traditional Service Center versus how much does it like the Reliance’s or those types of businesses that really don’t – that it’s not a Service Center. It’s sort of its own unique business? 
Mark Eisele : I would say, Joe that Reliance locations, they still are a Service center business, but they are really just focused on one customer segment which is oil and gas whereas in most of our Service Centers that we have are focused on all segments of the business. I don’t necessarily think that we would say that they are that different. It’s just that they are really focused on one thing. I think we see a lot of similarities in what they do and what we do in our day to day business. And so their product focus is starting with food conveyance, which is like an hose shop and then they’ve added these oil fuel suppliers, which is general industrial distribution type items for their customer base over the years. And so we see a lot of opportunities. Another potential synergy is with this hose capability that they have focused on one customer segment. Well we can potentially use that in our core Service Center operations for some industrial utilizations of hose that maybe we don’t play in today with our core operations because the shop facilities that they have at Reliance are spectacular. 
Operator: Our next question comes from the line of Jason Rodgers with Great Lakes Review. Please go ahead. 
Jason Rodgers - Great Lakes Review: Would you provide some commentary on performance by industry for the quarter? 
Neil Schrimsher: I think for us, out of our 30 industries, it’s probably pretty consistent of what it was in the prior quarter. I think 13 up energy, oil and gas those being positive, others showing maybe some nice trends. Probably the weaker areas or weakness, pulp paper, perhaps wood products and mining. And so I think those would be the ones on the weaker end of the scale. 
Jason Rodgers - Great Lakes Review: And then what were the expense costs related to the ERP system in fiscal 2014 and what is your estimate for fiscal 2015?
Mark Eisele : Jason, our thought is during fiscal 2014 we really morphed our expenses from building the system too then deploying and running the system. And so the real change from fiscal 2015 versus fiscal 2014 will be that we don’t have any more go lives. In the go lives we have a lot of travel expense and training expense and things of that nature that don’t necessarily continue. But it’s a couple million dollars. It’s not a huge number because we will do training in fiscal 2015. It’s just a different kind of training. It’s not a training on how to use the system. It will be more training on how to optimize the system and how we can use the data to optimize our business better.
Operator: And our final question comes from the line of Adam Uhlman with Cleveland Research Company. Please go ahead. 
Courtney Killion – Cleveland Research Company: Hi, Neil and Mark. This is Courtney queueing on for Adam. I was just wondering if you guys could talk a little bit about the pricing environment, what you are seeing from suppliers, what kind of expectations you have in your fiscal year 2015 guidance on the pricing side? 
Neil Schrimsher: I think in our look going forward we’ve got just a really modest price in our plans. If the environment changes we’ll adjust. I think we’ve had good capability to do that. Dialogue with our suppliers, I think they are more modest normal price increase activity that we get periodically throughout the year. So I’d call it a steady stable pricing environment from our suppliers and on through. 
Courtney Killion – Cleveland Research Company: Should we see any benefits from the SAP rollout next year or do you think that’s more of a much longer term impact? 
Mark Eisele : I think, Courtney that’s sort of the thought process we have in our gross profit percentage of the improvements that we expect to see there. We expect to see those improvements in our core business, not just in fiscal 2010, but we are really building this so that we see them year after year after year. Our expectation is that we should see this continue and the fiscal ’15 is really the first step down that journey as we utilize the system to help us optimize our pricing so that the gross margins that we experienced get to improve.
Courtney Killion – Cleveland Research Company: Okay. Is there a sense in kind of that gross margin expansion guidance that you've given, how much is from the acquisitions and how much is from the SAP contribution?
Mark Eisele : I think we’re looking at SAP as just our – that’s how we do business now. And so all of the improvements in our core business for the locations that are on SAP, that’s the improvement. And so like I said, I think I mentioned earlier in the call, we were thinking of anywhere from 20 to 40 basis point improvement in the GP percent for that what I’ll call the core same store operations.
Courtney Killion – Cleveland Research Company: Okay. That was just for core?
Mark Eisele : Yeah.
Operator: And at this time I am showing we have no further questions. I will now turn the call over to Mr. Schrimsher for any closing remarks.
Neil Schrimsher: I just want to thank everyone for joining us today. We appreciate your interest and we’ll look forward to talking with you throughout the quarter.